Operator: Ladies and gentlemen thank you for standing by and welcome to the Tencent Holdings Limited 2013 Third Quarter Results Announcement Conference Call. At this time all the participants are in a listen-only mode. There will be a presentation followed by the question-and-answer session. (Operator Instructions) And I must advice you that this conference is being recorded today. I would now like to turn the conference over to your host today Ms. Catherine Chan from Tencent. Please go ahead Ms. Chan.
Catherine Chan: Thank you very much and good evening ladies and gentlemen welcome to our analyst conference call for the third quarter of 2013. I am Catherine Chan from the IR team of Tencent. Before we start the presentation I would like to remind you that it includes forward-looking statements which are underlined by a number of risk and uncertainties and may not be realized in future for various reasons. Information about general market conditions is coming from a variety of sources outside of Tencent. This presentation also contains some unaudited non-GAAP financial measures that should be considered in addition to but not as a substitute for measures of the company's financial performance prepared in accordance with IFRS. For a detailed discussion of the risk factors and our non-GAAP measures, please refer to our disclosure documents downloadable on www.tencent.com/ir. Now let me introduce the management team on the call tonight. They are our Chairman and CEO, Pony Ma; President, Martin Lau; Chief Strategy Officer, James Mitchell; and CFO, John Lo. Pony will kick off with a short overview of our financials and key performance. Martin will discuss our strategy highlights, James Mitchell, business review and John will go through the financials before we take your questions. Now let me turn the call over to Pony.
Pony Ma: Thank you, Catherine. Good evening everyone, thank you for joining us. In the third quarter of 2013, we have delivered a solid growth in revenue and profit. Operationally we made good progress updating our products for mobile internet and deepening user engagement. Our online games business strengthening its market leadership by adding smartphones and integrate with Mobile QQ and Weixin. Both Weixin in China and WeChat in international markets continue to grow user spaces. Now let me walk through the highlight numbers for year. Our total revenue was RMB 15.5 billion up 24% year-over-year and 8% quarter-on-quarter. Value added services revenue was RMB 11.6 billion, up 25% year-on-year and 8% quarter-on-quarter. Online advertising revenue was RMB 1.4 billion up 37% year-on-year and 7% quarter-on-quarter. eCommerce transactions revenue was RMB 2.4 million up 108% year on year and 7% quarter on quarter. Non-GAAP operating profit was RMB 5.3 billion up 20% year-on-year and 6% quarter-on-quarter. Non-GAAP net profit attributable to shareholders was RMB 4.4 billion, up 23% year-on-year and up 5% quarter-on-quarter. Moving on to our online platform. Our core social communications platform, dipped user engagement via mobile interactions. While total overall MAU for QQ was stable, quarter-on-quarter MAU on smart devices grew 10% sequentially. On a year-to-year basis total QQ MAU increased 4% to 816 million. PCU for the quarter reached 178 million up 7% year-on-year. Combined MAU for Weixin and WeChat reached $272 billion, up 124% year-on-year. For social networks Qzone's MAU grew 5% year-on-year to $623 million driven by increased mobile activities. Qzone remains the leading platform for our users to share photos and jokes with their close friends. Our online games platform is the largest and most active in China. Measured it by MAU, we rank number one in multiple categories including social games, web games, smart phone games ACG and MMOG. Our media platform, QQ.com, Tencent Microblog and Tencent Video continue to induce content and services for our users infotainment use, especially on mobile. On our utilities services we continue to strengthen our presence in mobile security solution and mobile browser. I will pass on to Martin to discuss reasons strategic achievement, mobile game platform and the Sogou Soso transaction.
Martin Lau: Thank you Pony and good evening and good morning everybody. The third quarter marked the official launch of our Mobile QQ and Weixin-based mobile game platform. To-date we have officially released five games via Mobile QQ and Weixin game centers. The total registrations for these five games reached 570 million in three months. Each of our games topped the free download chart on iOS App Store within hours after launch and successfully played in the number position during August and September of this year. For our first batch of games we have mainly focused on providing a light and fun gaming experience to our users. Nonetheless certain games have started to generate some meaningful revenue, for example our game [Tiny Run Everyday] has ranked for quite some time among the top three growth and titles on iOS App Store. While the first five titles have been our own games for the purpose of proof-of-concept will broaden the range of titles and launch third-party games very soon. We expect third-party games to constitute the majority of games on this platform in the near future. Based on what we have seen so far, we believe Mobile QQ and Weixin are highly effective game distribution channels. First of all, the games are featured in game (inaudible) embedded in the two very popular applications and even in the games to reach hundreds of millions of users within a very short time. Secondly, users can broadcast their achievements and invite friends to join the games thus creating vital marketing buzz. Thirdly, interaction among real life friends within the games such as social leader boards helping friends by donating (inaudible) and also playing either alongside or against your friends in [PvP] mode at another dimension of fun that differentiate our games from others. In short, mobile games when connected with our platform Android broad reach as well as social network effect which enables both user adoption as well as user engagement. Next, I will share some perspective around the recent Sogou SoSo transaction. We are excited about this deal for a number of reasons. Operationally, merging SoSo with Sogou creates a strong combination of product and technology teams to deliver superior search experiences to users. Strategically, the new Sogou is well positioned to compete specially in mobile search by capturing traffic synergies with social platforms online security, browsers as well as pending input. Advertisers also benefit from working with an enlarged advertising platform. So from the financial perspective, the new Sogou can capture cost synergies as well as monetization potential as a result of larger advertising platform that’s inherent in the search business model. While we have high regard for the new Sogou management team and will provide Sogou with full support via access and integration with our key properties. This field is also in line with our open approach of cooperating and working with strong and independent teams to create innovative products for users and also resulting in a healthy ecosystem for the industry. So with that I will pass to James to talk about business review.
James Mitchell: Thank you, Martin, good evening. During the third quarter we achieved revenue growth of 34% year-on-year. Online games contributed 54% of our revenue, social networks 21%, online advertising 9% and eCommerce transactions 15%. Our social network revenue is RMB 3.2 billion up 4% year-on-year and up 2% quarter-on-quarter. Our open platforms expanded their user base, paying users and ARPU year-on-year. Positive summer seasonality and initial contributions from mobile games distributed through Mobile QQ and Weixin contributed to a slight uptick in sequential revenue growth more than offsetting continued weakness in subscription revenue. Online game revenue was RMB 8.4 billion up 35% year-on-year and up 11% quarter-on-quarter. Monetization improved on some key titles such as League of Legends, [cross-five]. So new high profile titles such as Asura moved in by the release and we thought initial contributions from self developed mobile games distribute through Mobile QQ and Weixin. Taking a closer look at our social networks, during the quarter we launched Mobile QQ version 4.5 which includes the game sensor a reading sensor to our online literature business and digital coupons, Mobile QQ has such a substantial increased in the past 12 months as we add features differentiate the user experience from Weixin and benefits from the uptick of smartphones in the second and third tier cities where QQ has historically been very popular. We also launched Weixin version five which includes the game sensor and importantly the Weixin payments solutions for in-out purchases which deepens our relationship with smartphone users and opens the door for future transactional relationships. Our open platforms support in increasingly vibrant development community with a number of revenue generation applications  doubling year-on-year. We added distribution capabilities such as click for reward tasks and PC push to mobile downloads, which helped develop us maximize the traffic on our platform. Moving to online games. Our QQ game platform's average concurrent users dipped 7% year-on-year to 3.9 million as certain users migrate from PC client to web and mobile. In August, we released a new version of Mobile QQ games for Android users, adding features such as location based importation. For advanced casual games, our average internet users grew 42% year-on-year to 6.4 million, paying users and ARPU also generally increased. League of Legends organized a Wi-Fi watched global tournament series culminating a finale in Los Angeles (inaudible) where our Korean team won the League of Legends Season Three World Championship. [Cross-five’s] anniversary promotion and new game items contributed to its increased user activity and monetization. The massive multiplayer online games, combined ACU a stable year-on-year at 2 million. D&F user activity decreased year-on-year due to a less impact for expansion pack versus the year ago period and to anti-bot program. Legend of Yulong released in a successful expansion pack in early July with a new playing margin, new game items helping to exceed 800,000 peak users. [Azura] entered unlimited close data testing in mid September generating a positive user response. Blade & Soul moved into a limited close beta testing during October. Our online advertising segment revenue is RMB 1.4 billion, up 37% year-on-year and up 7% quarter-on-quarter. Display advertising revenue was RMB 1.3 billion up 42% year-on-year and up 9% quarter-on-quarter. Despite the Olympics comparison from the third quarter of last year, brand display ad revenue grew at a healthy double digit rate year-on-year helped by video and regional portal contributions. Performance display ad revenue more than doubled year-on-year due to our enhanced targeting technology and higher impression volume. Our search advertising revenue was RMB 94 million down both year-on-year and quarter-on-quarter, following the merger of our general search business with Sogou, will no longer be broke in search out as a separate sub-segment in future. Within brand display our top five advertiser categories of food and beverage, automobiles online services, consumer electronics and real estate. Year-on-year we believe with games, market share and consumer electronics and real estate and automobile categories among others. Our video branded ad revenue grew over 90% year-on-year due to increased inventories and higher CPMs. On mobile we're distributing customized news contents to rapidly expand smartphone user base by not only our Tencent news app but also plug-ins to Mobile QQ and Weixin. We're testing monetization on our news app with splash screen ads and sponsored news feeds. The performance display, our impression volume more than doubled year-on-year as the extended performance advertising from Qzone to other online properties and more recently to our video platform. Our performance display revenue yields increased due to higher click through rates, when we can improve click through rates in not only rates revenue yield to media owners but we also improved to pretend on spend for the media advertisers. Turning to eCommerce transactions, segment revenue was RMB 2.4 billion, up 108% year-on-year and up 7% quarter-on-quarter. In our principle business GMB approximately doubled year-on-year as our user base and total number of orders expanded. Home appliance sales dipped quarter-on-quarter due to the termination of government energy’s saving subsidy programs and adverse seasonality. In our agent business, revenue grew year-on-year driven by increased commission fees. And with that I'll hand over to John to discuss the financials.
John Lo: Hello everyone. For the third quarter of 2013 our total revenue was RMB 15.5 billion up 34% year-on-year and 8% quarter-on-quarter. Operating profit was RMB 4.8 billion up 17% year-on-year and up 5% quarter-on-quarter. Income tax expenses was RMB 955 million up 3% quarter-on-quarter the effective tax rate for the quarter was stable at 19.8%. Net profit attributable to shareholders was RMB 3.9 billion up 20% year-on-year and 5% quarter-on-quarter. On non-GAAP basis operating profit for the third quarter was RMB 5.3 billion up 20% year-on-year and 6% quarter-on-quarter, net profit attributable to shareholders was RMB 4.4 billion, up 23% year-on -year and 5% quarter-on-quarter. Operating margin was 34% down 4 percentage points year-on-year and 1 percentage point quarter-on-quarter. Net margin was about 28% down 3 percentage points year-on-year and 1 percentage point quarter-on-quarter. Let’s turn to segment gross margin. Gross margin for VAS was 65%, down 1 percentage point year-on-year and up 1 percentage point quarter-on-quarter. This sequential increase mainly reflected higher revenue contribution from in-house games. Gross margin for online advertising was 52% up 2 percentage points year-on-year or down 2 percentage points quarter-on-quarter. The sequential decrease mainly reflected higher online video content cost as we continue to acquire video content. Gross margin for eCommerce transactions was 6%, up 2 percentage points year-on-year or stable quarter-on-quarter. Moving on to operating expenses, selling and marketing expenses were RMB1.5 billion, up 79% year-on-year and 19% sequentially. The year-on-year increase was mainly due to promoting WeChat in international markets, online games and certain mobile applications as a percentage of revenue. Selling and marketing expenses increased to 9% from 7% in the third quarter of last year. G&A expenses were RMB2.6 billion, up 29% year-on-year and 9% sequentially. The year-on-year change mainly reflected increases in R&D expenses, [StarForce] and administrative costs such as office rental to cope with business expansion. As a percentage of revenue G&A expenses decreased to 17% from 18% in the third quarter of last year. Included under G&A, R&D expenses were RMB1.4 billion, up 21% year-on-year and 9% sequentially. R&D represents 9% of quarterly revenue. As at quarter-end we had about 27,000 employees, up 15% year-on-year and 6% sequentially. Comparing to last year, we employed more people to run the warehousing and logistic operations for our eCommerce business. Quarter-on-quarter the increase was due to our annual recruitment of university [graduates] to support business growth. Now we will look at margin ratios for the third quarter. Gross margin was 64.7% excluding eCommerce. Non-GAAP operating margin was 34.3% excluding eCommerce transaction revenues and costs, it would be 39.4%. Non-GAAP net margin was 28.4% excluding eCommerce transaction revenues and cost it would have been 32.4%. During the third quarter, we did not repurchase any shares. For 2013 to-date, we repurchased 6.64 million shares for an aggregate consideration of HKD1.6 billion. The total number of shares outstanding was 1.859 billion. Basic EPS was RMB2.105 on GAAP basis and RMB2.382 on non-GAAP basis. Diluted EPS was RMB2.07 on GAAP basis and RMB2.343 on non-GAAP basis. Total CapEx for the quarter was RMB1.6 billion, up 43% year-on-year and 11% quarter-on-quarter. Operating CapEx was RMB985 million, up 1% year-on-year and 35% quarter-on-quarter. During the quarter we repurchased most servers to support growth in our businesses. Non-operating CapEx was RMB636 million, up 312% year-on-year, but down 14% quarter-on-quarter. This year-to-year change reflected expansion of three [dollar] centers in China. Free cash flow reached RMB2 billion, up 2% year-on-year and 3% quarter-on-quarter. Our net cash position at quarter-end remains strong at RMB34.4 billion, up 46% year-on-year and 3% quarter-on-quarter. Finally, I will detail the financial impact of the Sogou, SoSo transaction and our revenue recognition for mobile games. For the Sogou, SoSo transaction, we will consolidate Soso-related advertising revenue and cost and capture our share of the new Sogou's net income or losses as share profit or loss from associate in the profit and loss accounts. On the balance sheet, we will recognize our equity interest in the new Sogou under interest in associates. For mobile games distributor our Mobile QQ and Weixin game centers will split revenue between social networks and online games. We allocate the platform portion of revenue under open platform sub-segment and the operator and developer portion under online games. This concludes our presentation. Thank you.
Catherine Chan: Yes, thank you, John. Operator, take the first question please. Operator?
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) Your first question comes from the line of Alex Yao from J.P. Morgan. Please ask your question.
Alex Yao - J.P. Morgan: Hi, good morning and good evening everyone. Thank you very much for taking my question. I have two questions, number one question is, as Martin discussed the operation of mobile game publishing on Mobile QQ and Weixin have demonstrated mobile social platform to user reach and the adoption ability. So my question is beyond the mobile gaming what are the digital content and services do you think such power can be applied to on mobile? And do you have a plan to introduce these content and services to your mobile social platforms? Number two question is, obviously this quarter we have seen the media usage has been shifting to mobile as well. What will be the monetization across different ad categories such as the brand ads, video ads and performance data ads such as --. Thank you very much.
Martin Lau: Okay. On the question of what additional [content], a lot of digital content actually quite suitable for mobile distribution and we have already put in some of these integration points. For example on our news platform we actually now have got daily news one in the morning and one at the night which sort of provides the headlines of our new service to WeChat, as well as Mobile QQ users and that is very, very popular. And it’s a service that has a lot of user value. And with that we actually also have been able to cross promote for our Tencent news individual client. So that’s an example. In addition to that we have been sort of promoting our music content, as well as video content to social sharing within our platform. So a lot of these digital content actually very suitable for social distribution and we have been leveraging our platforms to that. Now in terms of the monetization, James would actually address the question.
James Mitchell: I think you are asking about as media usage shifts from desktop and smartphone how can we shift our advertising revenue in response. I believe the performance advertising the shift is relatively natural. If you look at the financial results from companies like Facebook or Twitter and the rest of the world, they have obviously been able to ramp up their mobile performance advertising relatively rapidly. In China we have been experimenting with putting performance ads from -- on third-party mobile apps. And what we find is that the click-through rate on mobile can be comparable to or actually superior to the click-rate on desktop for performance ads. Moving on to display advertising the transition is a little bit rough here, but we are now seeing some success with our experiments in areas like flash screen ads that appear when you load on unused app each day. And then finally video advertising is probably the most challenging at the moment partly because of the proliferation of piracy. So there are some apps out there that enable users to watch video content from any site including our own, but actually script the advertising apps and that is obviously a fairly substantial deterrent to the ability of the industry to generate mobile video advertising a meaningful scale. So that’s part of why we and other companies in this space are very focused on cracking down on video piracy. And you may have seen an announcement about this afternoon. Thank you.
Alex Yao - J.P. Morgan: Thank you very much. That’s very helpful.
Operator: The next question comes from the line of Dick Wei from Credit Suisse. Please ask the question.
Dick Wei - Credit Suisse: Hi, good evening. Thanks for taking my questions. I guess another question is on the dynamics on the social network site. I guess in the press release you talked about some of the decline in subscription is going to be offset, was offset by the item-based related revenue on the social network. Can you talk a little bit about the dynamics how should we expect that to change down the road? And in particular with this new mobile revenue booking [accounting] methodology, how did it change the kind of numbers in the third quarter? Thank you.
Martin Lau: Yeah. On the dynamics of, I would say sort of your question is related to the subscription revenue. I think we have actually been already explaining this in first two quarters. When we were in the [Q2] region, we actually had a lot of privileges related to the membership in VIP for the users. Now, we actually started to migrate users over to the mobile platform. We actually have really focused on [music] streams, the basic communication and social functionalities. And a lot of the monetization mechanisms, a lot of the privileges were actually sort of add-ons that were not sort of most important for the basic user experience. So that's why to the extent we have sort of let them to a later time. So now when we look at sort of the subscription services and the VIP services, a lot of the privileges are not sort of mobile-related. So now we have started to provide certain mobile-related privileges and put it into the VIP packages. So we are seeing sort of the decline of the subscription leveling up at this point in time. But, I think it would take us more effort, as well as longer time in order to really provide the full speed of privileges in relation to the VIP services. But of course in the meantime as we move to mobile we're now having pretty vibrant gaming platform and that would actually help us to generate some revenue over the near to medium-term. Now John will actually talk about how exactly we actually [get the] revenue.
John Lo: All right. As I mentioned before, we allocated platform portion of the revenue under open platform segment and the operator and developer portion under online games. In this quarter since we have just started our game, the revenue is still above, but it’s not that huge. Since both our, outside games (inaudible) they have more portion under online gaming with similar platforms.
Dick Wei - Credit Suisse: Okay, got it. Just wanted to maybe go back to the kind of the speed of the subscription, the PC-based subscription decline, when would you see kind of the acceleration of some of the subscription, the mobile privilege related subscription to more to drive the growth on the segment?
Martin Lau: Well I don’t think we will give this kind of specific guidance. It has, more and more privileges headed on the mobile side. The mobile side subscription would actually start to pick up and hopefully that would actually over compensate for the PC decline. But we’ll have to see, I think a lot of this is actually sort of new. We know that a whole of host of things that we need to do, but sort of the speed at which we do it will also be impacted by how much fundamental work that we need to do to improve the basic user experience. So we can’t really sort of give the timetable. At the present time I think most important thing is still to make sure that the application itself is actually providing the best user experience on the fundamental value side.
Dick Wei - Credit Suisse: Great. Thank you.
Operator: The next question is from Alan Hellawell from Deutsche Bank. Please ask your question.
Alan Hellawell - Deutsche Bank: Great. Thank you so much. Just a quick question, probably I recall the results presentation from your partner Nexon and generally somewhat of a negative surprise as they talked about the fourth quarter and their reference to Dungeon part. I know that they are often times [extenterating] circumstances that would explain that. But can you give us your interpretation of why they might be bringing this up and add a color little there if you don't mind?
Martin Lau: I think we’ll probably pass on and interpreting, what other people say. But yeah I did mention in the introductory remarks that Dungeon and Fighter revenue has experienced some pressure. And the specific reason is because the expansion pact release in the third quarter of 2013 was less impactful than the expansion pact in the third quarter of 2012. Now I think it's probably fair to argue that as the game gets older then it is in the [multi-coded] expansion pacts may have diminishing impact at the time will come to us with an expansion pack needs to be bigger and better in order to achieve the same impact that your expansion pack. So these outages may, I think it's also worth pointing out that our aggregate game revenue see relatively healthy growth in the third quarter of this year versus the third quarter of the last year. The majority of that growth was actually driven by sub-developed games. Now I didn't know necessarily be the pattern going forward because we have lots of license games that we're very excited about in our portfolio, but the key takeaway I think is that we do have a portfolio of games and while we’d like every game to be doing spectacularly well every quarter that has never really been the case in the past and will probably not be the case in the future.
Alan Hellawell - Deutsche Bank: Got it. And James, sorry one quick follow-up, you've I guess you very readily had talked about the growth in mobile gaming as being significantly incremental to your [burgeoning] desktop business gaming business. As we really start hitting scale in mobile gaming, what do you see is the interaction between desktop and mobile in terms of time spend et cetera?
James Mitchell: I think at this point our view is that mobile game could be somewhat kind of ballistic in their mini-casual game category at desktop games which is very much the minority of our desktop game revenue. At this time point we believe that mobile gaming is very large the incremental in terms of both the time spent and also money spent to the desktop game category and that belief is based on what we've seen so far in China what we have seen so far in Korea, Japan and the rest of the world. Obviously things may change in the future, but the desktop look at the moment now in China and overseas.
Alan Hellawell - Deutsche Bank: Fantastic. Thank you very much.
Operator: The next question comes from the line of Timothy Chan from Morgan Stanley. Please ask your question.
Timothy Chan - Morgan Stanley: Hi, good evening. Thank you very much for taking my questions. I have two questions. The first one is about the competition for Weixin in China. Your competitors, they’re now getting more aggressive in competing with your Weixin product and some even started to subsidize the data charges. Can you talk about how meaningful is the competition now in China? Thank you. And I have a follow-up question.
Martin Lau: Yeah. On the competition side, I think well, first of all, I think we actually do welcome and competition I think it is really a nature of life in the -- into the market revenue, it’s only when you have a good segment that sort of new competition starts to come in. And I think the important thing is actually sort of you know by having competitors it actually drive you to actually work harder in order to come up with better user experience for the users. So I think that’s to some extent a good thing for the market. Secondly I think for us we continue to view that the biggest value of a communication and social product is actually within the product itself. We are very focused on building user experience in order to deliver the best user experience for our users and sort of you know when you have the best user experience and users stay and the users want to stay they actually keep each other. And I think that’s actually the big value of the social network and of a communication tool. So from a more lights perspective, you never see sort of a product which gives a big money actually eventually taking over the markets. So I think little bit ultimately the most important thing is really the fact that who has the best user experience, who can actually can provide the best user value to the users. And I think on that front, we’re completely focused on.
Timothy Chan - Morgan Stanley: Could you also talk about the latest competitive landscape for WeChat in overseas market, what are this countries now you have a clear lead and where do you need to continue spend on marketing? And finally how should we think about the WeChat marketing spend next year compared to the 100 million to 200 million this year? Thank you.
Martin Lau: Well, I think there is not that much to update. I think we have given sort of the overall situation of WeChat in the overseas markets, one quarter has past, the number had been consistently growing and we are very focused on making sure that sort of within the market that we are penetrated, we continue to provide good product, good service quality so that the users will have reliable service and we’ll have increasing user engagement. And I think for now the marketing will go on and we’ll see at least for the next few quarters we will continue to spend on marketing, so that we can sign up new users. But overtime I think the focus will be gradually shifted to making sure that the users engaged more on our platform and now with sort of the launch of 5.0 in the overseas markets, that’s coming up we will have games, we will have more emoticons that we will provide to the users and we’ll have new functionalities and hopefully sort of all these things will actually add to the user engagement. Now the geographic coverage is still primarily in Southeast Asia, Asia and certain countries in Latin America, as well as countries like Italy in Europe. I think we have a number of these markets, some of them sort of we have pretty good concentration in users already, some of them sort of we are seeing early traction. So I think it would take another few quarters to play it out.
Timothy Chan - Morgan Stanley: Thanks, Martin.
Operator: Thank you. The next question comes from the line of Eddie Leung from Merrill Lynch. Please ask your question.
Eddie Leung - Bank of America Merrill Lynch: Thank you for taking my questions. I have two questions. The first one is about your mobile game platform. Could you share more color on your strategies to [overlap] the mobile game platform to perhaps your 100,000 developers out there. How quickly we see the number of games increase on your platform and how do you see this differentiation between Mobile QQ and Weixin in [certifying the purpose]? And then secondly just a housekeeping question, can we have the ARPU trend of your online games? Thank you.
Pony Ma: Okay. On the mobile game platform right here, I think we actually sort of have a whole series different platforms, so the strategy might be sort of slightly different with respect to different new properties, but overall I would say the focus is actually sort of to be able to work with as many good developers as possible so that we can actually delivered best games and the best gaming experience to the users. But sort of because of the different nature of the different properties where the strategy might be different, for example if you look at our social platform Weixin and Mobile QQ, I think the strategy there is actually should be more selective in terms of introducing games. So the nature of using platforms, we try to sort of bring on games that has the social element, that sort of can not only provide gaming experience but also sort of enhance the communication and social experience of the users. So we have to sort of pick the games that actually fulfill those circumstances and sort of criteria. Now on other parts of our overall platform such as our app store and the strategy will be sort of to be as open as possible. And sort of in the clean sheet if you want (inaudible) for example which allows different applications to promote their games and that would be sort of new much, sort of open platform with much lighter selection. So I think depending on what kind of property it is and what kind of setup that would actually provide for the best user experience according to their expectation, we'll have sort of different strategy. But by and large in the game near future sort of new third-party games will sort of [deducted on] to us within our platform, that's what we want to eventually sort of achieve.
John Lo: In respect of the ARPU's, the MMOG in quarter three was RMB185 to RMB275 and for advanced casual games, it was RMB75 to RMB175.
Eddie Leung - Bank of America Merrill Lynch: Thank you.
Operator: The next question comes from the line of Alicia Yap from Barclays. Please ask your question.
Alicia Yap - Barclays Capital: Thanks for taking my question. So my question is related to WeChat payment. Can management elaborate a little bit on so far since the introductions of the features in August, how the user traction has been so far? And in additions to the payment related to Indian purchase, is there anything that we generate so far from business activities and how is the traction? And if so, where is the revenues actually being recorded? Thank you
Unidentified Company Representative: Well, I think the WeChat payment, actually it’s called Weixin payment because it’s not available on WeChat platform which is for international (inaudible). So Weixin payment is early trial of our payment mechanism sort of for the Weixin platform and it’s actually leveraging sort of the existing infrastructure of our [Tencent] platform and we extend part of the user experience on to the Weixin application. And I would say quite well it’s actually sort of mainly for providing convenience to the users so that they can actually pay for online games as well as pay for some of the sort of mobile subscription as well as buying sort of virtual items. But over time we believe that we will actually also be very hopeful to different kinds of on merchants rates who wants you get into mobile transactions. So for example, our public accounts, the ecosystem can actually sort of benefit from the fact that there is a Weixin payment platform and also some of our partners on the eCommerce side, on [group buy], on B2B side they also sort of can leverage Weixin payment to get payment from the users. So I think it’s still early days in terms of the involvement with more and more payment mechanisms, with more and more sort of payment applications and partners it will continue to grow.
Alicia Yap - Barclays Capital: Okay, great. Thank you.
Operator: The next question comes from the line of Jiong Shao from Macquarie. Please ask your question.
Jiong Shao - Macquarie: Thank you for taking my questions. My first question is about WeChat and Mobile QQ, you said that your revenue between gaming and social further revenues you are getting from the game on these two to social platforms. Could you share with us the exact split 50-50 or 70-30, how do you see that and is that the same split you intend to use once you open the WeChat to the third party games and what’s the timing for that opening up is going to be later this year I think you talk about earlier? My second question in your eCommerce business, I was hoping you can talk a bit about what you saw on the single stay activities compared to last year for both of your platform business as well as for your sort of first party merchant principal business? Thank you.
Pony Ma: As I have explained earlier, the amount of revenue booked under online gaming for those mobile games under more than that book under open platform and going forward there third party developers going on to our platform. It will really depends on whether we as a principal agents in some cases in which we do not determine the pricing or the recent report threats with the developers, then it will be book at net revenue. However while we operate our games ourselves, set pricing and stuff like that, then it will be booked as gross revenue and they will be sharing the paid out to them, that’s how the accounting works for those mobile games going forward. So on eCommerce…
Jiong Shao - Macquarie: I want to follow up on this. I was asking if you have a $100 revenue from Weixin game and do you put a 50 into the [personal], 50 into the games, I was asking the split if you’re able to share with us?
John Lo: I think it’s pretty clear that we are not going to be able to share with you and so what [John] is saying for self developed games right now like which is sort of the first five games both ourselves developed as per the concept and sort of the revenue booked to the gaming tradition is actually higher than that sort of platform because the gaming tradition sort of both responsible for the content as well as for the operation of the game.
Pony Ma: On your question regarding eCommerce, I would say a single day is actually sort of little bit difficult sort of indicator of the overall performance of the platform, but obviously this year right because everybody has prepared for this particular one day. So the performance of our platform has been sort of quite good compared to last year. So a data points because sort of focus on making sure that how logistics is actually well prepared as well as with the more focused in terms of traffic generation and also in terms of making sure that we have enough inventories, the first party sale actually [GMB] order is actually more than five times what we have last year on the same day.
Jiong Shao - Macquarie: Okay, great. Thank you for that. Thanks.
Operator: Thank you. The next question comes from the line of Thomas Chong from Bank of China International. Please ask your question.
Thomas Chong - Bank of China International: Thanks for taking my question. I have a question about WeChat, the stickers features. If you look at overseas players Line in Japan below about 20% of their revenue coming from stickers. How should I think about the trend in China, is stickers going to be a meaningful revenue contributor to Tencent WeChat? Thanks.
John Lo: The answer is actually sort of no. We believe actually stickers is actually a pretty good way to engage users rather than sort of generate revenue from the users. I think we are on the revenue generation continue we provide free games, but sort of within the games is probably sort of easier to generate the differential experience. So that some people may want to pay for, some people don't want to pay for, but with stickers, I think the guiding principle for us are we probably going to be trying to provide the stickers if possible and some IT owners would not sort of give us applying at right distributors stickers but taken one per case is possible then we actually want to provide the stickers to as many users possible which is it will be relatively free.
Thomas Chong - Bank of China International: I see. Thanks.
Operator: The next question comes from the line of [John Troy from Daiwa]. Please ask your question.
Unidentified Analyst: Thanks for taking my question. I have a couple of questions. First of all, on your search business cooperation with Sogou, could you elaborate a more when should we be seeing the integration really happening between Sogou and Tencent especially on the mobile search area, would like to get more color in that area? And my second question is on regarding the Blade & Soul. I recently heard very positive feedbacks from the limited CBT. When does the management expect the DNF to officially launch game in China? And also based on the positive feedbacks and response from user so far, does the management think this game could be successful comparable to DNF which is obviously one of the key games for Tencent? Thank you.
Pony Ma: On our integration with Sogou, I think I would say the progress has been pretty smooth and we have merged the teams and we are in the process of moving the inventories from social over to sort of the advertising platform of Sogou. And we’re also sort of providing a transition plan for the search advertising agencies and distributors on the social platform. So I think things are moving in order and the more complete integration we’ll have continue be happening towards the end of this year.
Martin Lau: Blade & Soul, we probably won’t answer the question you’re asking, but it’s a highly level observation late insolvency gained that’s tracked presently well in the most anticipated game rankings in China for long time now and so far it seems as it’s one of those rare happy circumstances in life when the reality is the early bunch of users and it lifts up to the elevated expectations. Looking forward the sequence of sort of progression for our games is typically they move from a limited close data test for only a certain number of people can play into an unlimited close data test and then open data and commercial launch, full commercial launch thereafter. So that sort of the forward trajectory.
Unidentified Analyst : Okay thanks.
Operator: Thank you. The next question comes from the line of Ravi Sarathy from Citigroup. Please ask your question. We will proceed to the next question. The next quarter comes from the line of Piyush Mubayi from Goldman Sachs. Please ask your question.
Piyush Mubayi - Goldman Sachs: Thank you. I had two questions. The first is when I look at the rollout of games on Weixin and I contrast that with the way Line progressed and KakaoTalk progressed. It looks like you have been a lot more cautious, could you comment on that and tell us what the pros and cons are of the strategy you are deploying? That’s the first question. Second on the merger with SoSo and Sogou, doesn’t lead to you are eventually taking costs out, and if that’s the case is there any other, anything else that we could look at in the next couple of months as being areas where costs could be taken out potentially? Thank you very much.
Unidentified Company Representative: On the gaming platforms side and your observation is actually sort of correct. And as I actually explained earlier we do have sort of quite number of different platforms to leverage. So I think we are applying differential strategy with respect to the different platforms. On Mobile QQ and Weixin these are sort of our crown jewel platforms and we are very much sort of care about the user experience. And want to you have that audit relationship between these applications and the games such that the games are not there just sort of we are using the distribution channel. We actually want to have these games actually speeding back into the social and communication interaction for those platforms. So we actually I would say attach a pretty high standard for admitting games into these platforms. So that is why in the initial stage is actually sort of self developed games, so that we actually have the full control to treat our users experiences, so that we will make sure that games are not sort hurting the applications but rather actually come to be able to help the applications overtime. I think we have gotten pretty good of such proof of concept so that now we can actually start to admit new third party games into the platform. But by and large, we will be very cautious because we do want to maintain a very conducive and nice environment for our users within our crown jewel platforms. On the other hand, revenue in some of the marketplace oriented platforms that we also [own] such as the App Store, such as in the future maybe the Browser, we can actually sort of provide a place for more open platform type of operation which include many, many more games.
Martin Lau: With regard to the SoSo, Sogou transaction, again you are right that there will be consequent cost savings running as [search] business to an extensive business particularly in terms of engineers inside the CapEx. Now that's not the primary rational for the transaction. The primary rational is delivering a better search product for our users and better traffic for our advertisers, but it's a fair observation. The capital profit that’s street up, we'll reinvest some of that in strategic investment areas where we see continued growth opportunities such as online video. So you shouldn't expect us to suddenly change us and become very short-term oriented and we'll continue to invest aggressively for the long-term. But at the same time I think the transaction does illustrate that we invest aggressively, but not irrationally.
Piyush Mubayi - Goldman Sachs: Alright. Thank you. Thanks so much.
Operator: Thank you. Our last question comes from the line of Ravi Sarathy from the Citigroup.
Ravi Sarathy - Citigroup: Thank you very much for taking the questions. I have a couple of very quick questions if I may. You’re still investing [side-by-side] with the first I think you guys for the final [T Games] with 570 million registrations on the mobile platform. I was wondering last quarter you shared number of DAUs and number of downloads in (inaudible) so I was wondering if you had any other color you could possibly share on any one or all of those games? My second question is, I may have missed it, but the amounts of spending for WeChat international sales and marketing in the quarter or any numbers you may wish to share for the quarter or other time periods?
Martin Lau: Yeah. In terms of the mobile games revenue, the number sort of that we gave for this quarter, the first one is actually 570 million for adjusted five games accumulatively sort of within this first three months. And at the same time we also gave the ranking of these games basically sort of each one of them moved to the top of the App Store very quickly after launching sort of stay there for quite some time after the launch. And thirdly from a revenue generation perspective [number] of our games which is to me every day run actually have reached the top three in terms of the growth in chart for [ILS] App Store and it has stayed there for quite some time as well which sort of does prove the monetization capability of certain of our games. So that’s for the games and what was the last question sorry?
Ravi Sarathy - Citigroup: The sales and marketing [valuation].
Martin Lau: The sales and marketing valuation, I would say sort of the spending actually sort of in the third quarter on WeChat international is actually mainly related to sort of the messy marketing program that we actually launched across 15 different markets, but sort of towards the latter part of the quarter because in similar indication we actually sort of we choose to spending quite substantially, but sort of stepping into the fourth quarter we started spending again and this time around sort of both the global campaign, as well as quite a few of the local campaign in the target markets. So I don’t think that you should expect this quarter will be a step-up in terms of spending compared to the third quarter. And as I said right now, we will actually keep spending to acquire users for the next few quarters, but we feel that this is actually sort of important for the long-term growth of our company.
Catherin Chan: Okay. Thank you very much, Ravi. And thank you operator. We are ending up the conference call now, if you wish to check our press release and other financial information, please visit our website under www.tencent.com/ir relative to replay, -- shortly. Thank you. And see you next quarter.
Operator: Thank you everyone that does conclude our conference for today. Thank you all for your participation of Tencent Holdings Limited 2013 third quarter results announcement conference call. You may now disconnect.